Operator: Good day, ladies and gentlemen, and welcome to the Q3 2014 Autoliv Earnings Conference Call. For your information, today's call is being recorded. At this time, I would like to turn the call over to Mr. Thomas Jönsson. Please go ahead, sir.
Thomas Jonsson: Thank you, Bertrand. And welcome, everyone, to our third quarter 2014 earnings presentation. Here in Stockholm, we have our Chairman, CEO and President, Jan Carlson; our Chief Financial Officer, Mats Wallin; and myself, Thomas Jönsson, Group Vice President of Corporate Communications. During today's earnings call, our CEO will provide a brief overview of our third quarter performance and general business conditions, while our CFO will provide some further commentary around the financial results and outlook. Then, at the conclusion of our presentation, we will remain available to respond to your questions. And as usual, the slide deck is available through a link on the homepage of our corporate website. Turning the page. And here we have the Safe Harbor statement, which as you well know, is an integrated part of this presentation and includes the Q&A that follows. During the presentation, we will reference some non-U.S. GAAP measures. And the reconciliations to U.S. GAAP are disclosed in our quarterly press release and 10-Q that will be filed with the SEC. I will now turn it over to our CEO, Jan Carlson. Jan, please.
Jan Carlson: Thank you, Thomas. Good morning, and good afternoon, or good evening, everyone. We start by turning the page. As we are all aware, our industry remains under a heightened focus on quality, where we unfortunately this year have seen an unprecedented number of vehicle recalls for safety-related reasons. The industry is being affected by this difficult situation, and we are evaluating our capacity to determine how we can best support our customers and the consumer. Turning now to our results. Record sales grew another quarter of solid financial performance. Organic sales growth of close to 5% was lower than expected due to an unfavorable vehicle mix in China, both with local and global brands. Despite this, our adjusted operating margin of 8.5% was in line with our guidance due to good cost control in overheads. Our adjusted earnings per share of $1.25 was impacted by $0.08 of interest expense resulting from our debt issuance in second quarter, and $0.04 related to tax items. These effects more than offset the EPS improvement from higher sales and fewer shares. Return on capital employed and return on equity of 21% and 12%, respectively, continue to track above historical levels. In addition, we delivered on operating cash flow of $212 million, which is a new record for a third quarter, and we returned $288 million to shareholders during the quarter. Lastly, our organic sales growth in Active Safety of approximately 30% is in line with the growth of Active Safety markets. I would like to again thank the entire Autoliv team for delivering another quarter of quality and operational excellence and solid financial performance. Our first priority is quality, as saving human lives is front and center of what we do each and every day. Turning the page. As our organic sales in China for the third quarter came in lower than our expectation, I thought it would be helpful to explain a little bit around the situation. Growth markets like China show greater uncertainty and volatility since it is very difficult for OEMs to precisely predict consumer demand, which can result in an erratic production schedule. As you can see on the slide, on the upper right, due -- our call-offs for the quarter did not materialize from what we saw in the beginning of the quarter. These significant changes to our build schedules with certain customers resulted in a negative vehicle mix. A similar situation happened last year in fourth quarter, as you can see by the chart on the lower right. But in that case, it led to an unexpected growth increase. Based on our current visibility, we expect the negative model mix to continue for the fourth quarter. However, we believe this is a temporary situation that will not continue for 2015. Therefore, we remain confident that the China market will continue to be an important part of our long-term growth. Looking now to our market position on the next slide. We have our delivery figures here for the third quarter. We continue to enhance our overall market position as we grew faster than the light vehicle production in most product areas. The negative year-over-year change in seatbelt that we saw in the first half of this year continued during the quarter due to slower organic growth in China. All other products are essentially performing as expected. In particular, newer products like advanced seatbelt and Active Safety is evidence that our investments in technology for growth are paying off. Looking now to the next page. We have some of the key models that contributed to our solid organic sales growth. During the third quarter, these models had a strong organic sales growth for Autoliv and represent approximately 9% of our total sales. When comparing to the light vehicle production, this model mix contributes to our out-performance in Europe and North America, in particular with our Active Safety products. Turning the page again. The current global light vehicle production outlook for full year 2014 is 3.3% year-over-year, slightly lower than the 3.5% expected earlier this year. Within Asia, the light vehicle growth rates in China are slowing. In first half, light vehicle production growth was 11%, while the light vehicle production growth for the second half of this year is expected to be approximately 8%. In Japan, the light vehicle production continues to be a positive surprise and is now expected to increase almost 2 percentage points year-over-year versus a decline of 8% in the beginning of the year. In contrast, the rest of Asia is now expected to be down 2% versus expected to be up 3% in January. In the Americas, the outlook is mixed. The U.S. SAAR remained stable above 16 million vehicles with inventories of approximately 64 days. However, the North America light vehicle production growth rate is slowing in the upcoming quarters. In South America, the poor economic conditions have continued into the second half of this year, and consequently, also, the light vehicle production is revised down again to a year-over-year decline of 16% versus an expected increase of 2% in January this year. Vehicle registrations in the EU-27 continue to improve with a slow recovery. This, in combination with a fairly disciplined light vehicle production, leads us to believe that the inventories are at the lowest level since 2010. To conclude, we believe the general market condition remain mixed with an increased uncertainty. Now, I would like to turn to our CFO, Mats Wallin, who will comment on our financial results and outlook.
Mats Wallin: Thank you, Jan. Looking upon our financials on the next slide. We have our key figures for the third quarter. Our record third quarter sales of $2.2 billion was mainly driven by the growth in Active Safety, and China, as well as Japanese OEMs in North America. This sales growth drove our best third quarter gross profit ever, which was a 5% improvement year-over-year. Despite higher CapEx this year, our return on capital employed remains at the same strong levels as last year. Looking now at our margin development on the next slide. Our adjusted operating margin of 8.5% was in line with our guidance, despite lower-than-expected organic sales growth. If you look to the chart on the left, the lower profit generated from the lower-than-expected organic sales growth was essentially offset by lower overhead cost as a result of tight cost control and favorable currency effects. When comparing to the prior year, as illustrated by the chart by the right, the benefit from organic sales and currencies was 90 bps and 70 bps, respectively. These favorable items were offset by higher RD&E net, 70 bps, mainly related to Active Safety and other net, 130 bps, which includes the increased cost in our footprint. As we have noted previously, the increased cost in our footprint mainly includes our build up of growth, including vertical integration and operating inefficiencies in South America. We are executing our plan to improve operating inefficiencies, where we see improvements with steering wheels in Europe. However, the results in Brazil are not as anticipated due to the weaker market. Moving now to the cash flow on the next slide. Our operating cash flow of $212 million was the best ever for a third quarter. We expect to deliver an operating cash flow of at least $0.7 billion for the full year, excluding discrete items. We now expect CapEx not to be in the upper end of the range of 4.5% to 5% of sales for 2014, and D&A to be roughly 10% higher than last year. Lastly, during the quarter we returned $288 million to shareholders through dividends and share repurchases. Looking now at our capacity alignment on the next slide. During the third quarter, we expensed $10 million for future activities and had a cash outlay of $11 million. For the full year, our estimate for the capacity alignment cost and cash outlay are both expected to be more than $40 million. In full year '14, we now expect to realize an additional $8 million in savings throughout the year, which reflects some delays. This is in addition to the $12 million in savings we had in 2013. As these activities are implemented, we expect to see increased savings in 2015, with further savings in 2016 and 2017 from the implementation of these activities. Also, we are evaluating the need for further actions in the 2015 based on the current business conditions mentioned earlier. Looking now onto our outlook on the next slide. We have our guidance for the fourth quarter. Based on our customer call-offs, our organic sales are expected to increase 2% year-over-year, mainly due to the strong growth in Active Safety and with the Japanese OEMs in North America. Sequentially, our organic sales are expected to increase by roughly 5%, mainly due to the ramp up of new model launches. As a result, we expect to achieve an adjusted operating margin of around 9.5% in the fourth quarter. Year-over-year higher cost for RD&E net, primarily in the Active Safety, and mainly, the ramp up of capacity for growth and vertical integration are expected to essentially offset the benefit from organic sales, commodity costs and currencies. Sequentially, the adjusted operating margin increase is mainly due to the organic sales increase and the seasonal effect of higher engineering income in the fourth quarter. On the next slide. We have our outlook, which excludes cost for capacity alignments and antitrust matters, and assumes mid-October exchange rates prevail. Based on our slightly lower-than-expected second half sales since our early indication, full year 2014 organic sales growth is now expected to be 5.5%. The currency effect on the full year 2014 sales is now expected to be negative 1% due to the recent strengthening of the U.S. dollar. Despite these changes in assumptions, our adjusted operating margin remains unchanged 9%. Some of our full year 2014 planning assumptions include RD&E net to be less than 6% of sales, and commodities to be a tailwind of around $20 million in 2014. Excluding any discrete or nonrecurring items, we now expect an underlying tax rate of around 30%, and an operating cash flow at least $0.7 billion. Regarding our capital structure, it is unlikely that we will reach 0.5x leverage ratio by the end of this year, despite shareholder returns of close to $0.8 billion over the last 12 months. In conclusion, we continue to see 2014 as a transition year, where we're addressing margin challenges and adjusting our footprint to meet the evolving market trends, while implementing our strategies towards our long-term targets. Turning the page. I will now turn it back to you, Thomas.
Thomas Jonsson: All right. Thank you, Jan. Thank you, Mats. And this concludes the formal comments for today's earnings calls, and we would now like to open up the call for questions. So with that, I leave the word back to you, Bertrand.
Operator: [Operator Instructions] Our first question today will come from Itay Michaeli with Citi.
Itay Michaeli - Citigroup Inc, Research Division: Hoping we could -- just on the -- hoping you could talk a little more about the China mix issue, what specifically it was? Was it tied to launches or customers? And then, what gives you the comfort that this issue won't repeat going into 2015?
Jan Carlson: Yes. What happened was that we based our guidance on call-offs, and we had call-offs in the system at our guidance in July that pointed to the organic growth that we had in. During the quarter, our build schedules were revised, and it was revised down. And when that happened, it happened on -- from car manufacturers, where we have a higher content and to platforms and also to manufacturers that has a high dependence to Autoliv. And that is -- the result, ending up with the lower sales in China, and thereby, also, a lower organic growth for the company.
Itay Michaeli - Citigroup Inc, Research Division: And then just a follow-up...
Jan Carlson: When it comes to 2015, we are reviewing the situation right now. And to the best of our estimate, based on the situation we can see, we believe that this has a chance to stop now after quarter 4 and will not continue into 2015. That is our best estimate as of today.
Itay Michaeli - Citigroup Inc, Research Division: Great. And then just a couple of follow-ups. Any initial preliminary outlook for tax rate beyond 2014? It looks like it's been picking up a little bit in the last few quarters, any early guidance beyond 2014?
Mats Wallin: We believe that the tax rate in the longer term will be the low 30s.
Itay Michaeli - Citigroup Inc, Research Division: In the low 30s. Okay, perfect. That's just helpful. And just lastly, on Active Safety, it looks like the unit shipments were again very strong, revenue is strong as well, but the revenue per unit did decline a bit sequentially. Can you talk about what's happening there in terms of mix between night vision versus radar and other vision system? And then how the mix changes may be affecting, if at all, your margin outlook for Active Safety over the next 12 months or so?
Jan Carlson: When it comes to the unit shipment versus revenue, it is the mix effect where we are seeing more unit shipped of our radar and vision, which has a significantly lower sales per unit than, for instance, our night vision camera. So that shift has been going on for some time and is continuing. So that's why you see unit growth higher than organic sales growth. When it comes to margin outlook, we have said that we have a target to reach our corporate average of 8% to 9% for Active Safety during 2016.
Michael Tyndall: Okay, great. No change for that, of the global relative to mix.
Operator: We'll now take our next question from Ravi Shanker with Morgan Stanley.
Ravi Shanker - Morgan Stanley, Research Division: If I can just follow up on China again, was this the issue where the OEM, they just built -- got trigger happy and built too many units and build up the inventory, and so they're now kind of just draining that swamp, or is there -- have you seen any particular shift downwards in underlying demand itself?
Jan Carlson: We have not seen any significant shifts. You have seen some changes on the overall forecast from IHS, but we have not seen any significant underlying shift there. This was, as we have explained here, for us, more of a vehicle mix shift where there was a sudden change in the call-offs coming our way here, and it had a negative impact. So that is the situation we faced here in quarter 3 having a negative impact. And as we also explained here on the slide, we saw erratic production also in quarter 4 last year, but then it was to the opposite, it had a positive impact. We should remember that the Chinese market is fairly complex with a lot of carmakers. It's a relatively young market that is growing very fast, and production planning isn't so easy all the time for the OEMs and of course, not for us as a part supplier.
Ravi Shanker - Morgan Stanley, Research Division: Understood. And we have that same issue, as well. On R&D, if I remember right, in the last call you said that R&D in the second half of '14 is probably going to be up about $15 million or so versus the second half of last year, but it was up I think, what, $17 million this quarter itself. Is that number now higher for the second half? Or is there something timing-related going on?
Jan Carlson: We have said that we opted the Active Safety investment with $15 million last quarter. And as you know, we have increased the spend in Active Safety during the year because we see a need for technology development and we see opportunities in taking advantage of this growing market. We have said R&D in general would be between 5.5% and 6% for the year, and we stick to that for the year. You see that for this quarter, R&D net is higher than 6%, but we have said, for the year, it will be below 6%. We will continue to invest in R&D going forward and that is because mainly of the growth that we see and opportunities in Active Safety.
Ravi Shanker - Morgan Stanley, Research Division: Understood. And just lastly, a couple of forward-looking questions. You are ending the year with some pretty good margin momentum just like you did last year. But in the absence of incremental restructuring, do you think that you can continue this momentum into next year and maybe do 9.5% or 10% EBIT margin for next year? And also, related to this, you opened your comments talking about the competitive situation wherein the difficulties that one of your chief competitors is having. And I think, you've been quoted as saying that you are seeing some benefit out of that. Is there any way to quantify that? And does that show up in '15?
Jan Carlson: Well, it’s too early. We normally don't talk about the following year until we guide for the year in January. We are seeing good movement in our steering wheel issue that we talked about already in January. We are not seeing so good movement in the Brazil issue because of the problem in addition this year with the decline in light vehicle production. We are seeing good execution in our vertical integration. So that's so much about what we have talked about regarding issues and vertical integration and investments for growth. When it comes to margin for '15, we will come back to that in January.
Ravi Shanker - Morgan Stanley, Research Division: And Takata, anything from there you can qualify?
Jan Carlson: Well, when it comes to Takata and it comes to the quality issue, we -- of course, as we said before here, it's a very difficult issue for the industry as a whole. We have seen some business coming our way as a result out of this situation. And that is as much and I can say today in this matter.
Operator: We will now move to Brian Johnson with Barclays.
Brian Arthur Johnson - Barclays Capital, Research Division: Probably more of a strategic question, then I have a housekeeping one. Let me just do the housekeeping one first, which is, 2015, you said low 30s. Can you get any more precise, is that 30%, 32% or do we have to wait till the guidance session?
Jan Carlson: Yes. First of all, I mean, we have now an indication for the full year of around 30%. We don't guide for 2015 per se. What we are saying is that given that we are a U.S. company and having a U.S. tax rate, we believe that longer term, the tax rate for the group will be in the low 30%.
Brian Arthur Johnson - Barclays Capital, Research Division: Okay. And then again, just thinking through next year without getting into guidance, just through trends of spend. You've talked about an 8% to 10% operating margin target through the cycle. But do you see stepping up investment in Active Safety? And if so, would that, I guess, put you at the lower end of that? And the second sort of also related to margin is just, is this restructuring program likely to continue into 2015, as well?
Jan Carlson: When it comes to margin, as we said we have a long-term margin targets over the cycle of 8% to 9%. And now we are guiding for 9%, approximately 9% this year. We will continue to invest, and so we have done this year, and we will continue to invest in next year too in Active Safety. We believe long term, this is a growth area for us, and we have also been seeking acquisitions in this area to use our strong balance sheet to grow this business. When it comes to margin, again here, we will come back and speak more about the margin outlook for the company in January.
Brian Arthur Johnson - Barclays Capital, Research Division: Okay. But it is fair to say the -- and will restructuring continue in the next year?
Jan Carlson: When we said we have more than $40 million here in 2014, and we should not exclude that this will continue into 2015. It is all depending on the situation in the market, and what amount that, in such case, will be. But there is a lot to do when it comes to restructuring to align the capacity with the demand. If you look to Europe, for instance, the volumes in Europe are quite far away from what they were before the previous recession.
Operator: We'll now take a question from Rod Lache with Deutsche Bank.
Rod Lache - Deutsche Bank AG, Research Division: A couple quick ones. Could you just remind us what your exposure is within China to the Japanese OEMs? Are you over-levered to them in that market?
Jan Carlson: We have 2 Asian OEMs inside China. We have an exposure of ballpark 50%. And to Chinese OEMs in China, we have a exposure of around 20%. And to Japanese OEMs, around 20%, inside China, for this quarter that passed. So Asian OEMs inside China, ballpark 50% and Japanese OEMs 20% and Chinese OEMs ballpark 20% for third quarter.
Rod Lache - Deutsche Bank AG, Research Division: Okay. And your Active Safety business, I believe, is tracking to the mid 400 million unit -- mid $400 million range this year. You previously indicated $500 million for 2015. This year, it is exceeding the -- your expectations, it sounds like. Is the $500 million still a reasonable number to expect for next year?
Jan Carlson: Yes, I think that is a reasonable number to expect. I think, based on what we can see right now, we will come close to the $500 million target maybe already this year.
Rod Lache - Deutsche Bank AG, Research Division: Okay. So next year might exceed the original $500 million by 2015.
Jan Carlson: Let's come back to that next year, but it might be the case, yes.
Rod Lache - Deutsche Bank AG, Research Division: Okay. And then just lastly, just hoping you might be able to just elaborate a little bit on the margin. You're maintaining your margin guidance despite lower organic growth. You said that some of that is just controls of overhead. Are there spending items that would have occurred this year that are being deferred into next year as the result of some of the actions you are taking? Do you have any thoughts that you can provide at all on footprints, RD&E and restructuring savings as they appear today looking out to next year?
Jan Carlson: I think, first of all, to give a little more flavor on what's helping us to give -- to keep the margin. Of course, yes, it's the cost control itself. But it's also that we are positive on currencies. We're also positive on raw materials. So all these 3 combined is sort of helping us to have around 9% margin for this year. So it's -- that's what's driving it.
Rod Lache - Deutsche Bank AG, Research Division: So not so much cost being deferred from this year into next, if I'm hearing you correctly?
Jan Carlson: No, I don't think it's more that we are -- talked about focusing on costs and keeping costs down, if we are not deferring anything, really, it's more that we are -- we have a good cost development in combination with raw materials and currencies.
Rod Lache - Deutsche Bank AG, Research Division: Okay. And can you give us any color at all on footprint RD&E or cost restructuring savings beyond this year?
Jan Carlson: No. I don't think we have that at hand. We have said we will continue to invest in R&D in Active Safety, but when it comes to the effect out of this for 2015, let us come back on that in January.
Operator: We will now move to Brett Hoselton with KeyBanc.
Brett D. Hoselton - KeyBanc Capital Markets Inc., Research Division: Just first simple question would be the sales guidance 2014. Looks like your FX was -- they're going to be a pretty good headwind. Can you kind of just bucket this very roughly, is that -- how much of that is the euro versus maybe other currencies?
Jan Carlson: Yes. If we now look into the sales guidance, now we're talking about the translation effects on our sales. And what we are seeing there is especially the Japanese yen and dollars, which is impacting us negatively versus the previous guidance for 2014, but also the euro-dollar. It's approximately an impact somewhere between 2% to 2.5% impact coming from those ones.
Brett D. Hoselton - KeyBanc Capital Markets Inc., Research Division: And would you kind of say the -- it's half of one and half the other? Or is one particularly much more significant than the other one?
Jan Carlson: I don't have the numbers like that in terms of the significance, but they are contributing quite a lot compared to previous guidance. And if we just look into there, what we're talking about is that, that sort of reduces our -- in the translation, our sales number, with around $110 million, but it also reduces our cost. So from the EBIT point of view, it's an impact of around $10 million, but it's not impacting the margin of the company. It's more impacting the dollar value. So we estimate that the change from the currency impact in terms of translation compared to previous guidance today is impacting us of around 6 cents.
Brett D. Hoselton - KeyBanc Capital Markets Inc., Research Division: And, I apologize, I did step off for a moment in the call. So you may have commented on this in your opening comments. So if I'm asking you to repeat something, then I apologize, but how do we think about the rate of share repurchase or pace of share repurchase relative to your margin targets of 0.5 to 1.5. And maybe to begin with, what, based on the current balance sheet, kind of a dollar amount do you calculate as needed to expend to get to that 0.5 level. I think in the past, you kind of talked about 800 million or something like that. Where is that number today? And then how do we think about that as a target. Is there a particular timing date? What are your thoughts there?
Jan Carlson: Yes. I think, what you are maybe asking is sort of what -- how big is the gap now. And if you now look into our leverage ratio, including also our pension liability, because that's how we define now our leverage ratio. Then we are at the net debt of 0.1. So it's really the gap between 0.1 up to 0.5 we are talking about now if we are referring to this 0.5 target.
Brett D. Hoselton - KeyBanc Capital Markets Inc., Research Division: Yes. And I guess what I'm wondering is, to begin with, how much is that? Is that $500 million, $600 million, how much is that in terms of dollars? And then second question I have, which is more important is, how do we think about your achieving maybe the lower end of that guidance of 0.5, is that something that you hope to do in 2015?
Jan Carlson: We don't have a target for '15. We have -- our long-term target is, of course, a leverage around 1 with a range of 1.5, 0.5, that is our sort of long-term target. But we haven't sort of communicated anything specific for '15. Our aim has been first to reach 0.5, which we believe is now unlikely to be at the end of this year.
Mats Wallin: I think, what you should look to, Brett, also is the speed of shareholder return we had in the third quarter. We had a record shareholder return in the third quarter in combination of buybacks and dividends of close to $290 million. So we are doing this as a part of our correction of the capital structure according to our targets, and also, both in accordance to our aim to reach 0.5. Now we are ending up here in the end of October seeing where we are, and we find it unlikely that we would reach 0.5 with the timing we had in mind at the Capital Market Day in May last year.
Brett D. Hoselton - KeyBanc Capital Markets Inc., Research Division: And so how would you recommend we think about the pace of that share repurchase? In other words, if you did $95 million in the first quarter, you did $97 million in the second quarter and you did $290 million in the third quarter. As you kind of look forward, do you think that $97 million is more representative of kind of the pace or do you think $290 million is more representative of the pace, or is it just we're not sure?
Jan Carlson: And I think, Brett, this is -- what is important actually it's also a combination of dates available. If you -- with that following, as you see, we have extended the period. So we bought back shares also in the third month in the third quarter, which we haven't done in the first half of this year. We also had more available days due to an earlier earnings release in July than we had in the third quarter. And then, there was more available days also here in. So it's a combination of pace, extended period and days available for opening for trade.
Mats Wallin: And then, I think, we should remember that, that $288 million was the repurchase of some dividend combined, and the other numbers you mentioned were only repurchases, right?
Operator: We will now move to the next question from Richard Hilgert with Morningstar.
Richard J. Hilgert - Morningstar Inc., Research Division: Wanted to circle back to effective tax rate. At the beginning of the year, guidance was 28%, went up to 29% and now, we're now up to 30% with going forward being a low 30% number. Curious to know between the beginning of the year and now, what's happened in your outlook that's caused the uptick by over 200 basis points?
Jan Carlson: It's mainly that the mix between countries in terms where we have profits, where we have losses and how we do earnings, has changed over the year. So the picture we saw at the beginning of the year has been different now throughout the year, and that's why we have been moving from what we guided at the beginning of the year up to where we see today.
Richard J. Hilgert - Morningstar Inc., Research Division: Okay. On the engineering R&D. Should we expect that line item to tick up further given your comments at the beginning of the presentation about customers' increased or their heightened focus on quality?
Jan Carlson: No, I don't think that is the reason why we should increase engineering spend or why we have increased engineering spend, primarily. We have increased it due to investments in technology for Active Safety. We will be back in January with our outlook for engineering spend for the year in 2015, but we have not increased spend for quality reasons.
Richard J. Hilgert - Morningstar Inc., Research Division: So there is no real increase in staff or anything as a result of customers' heightened focus in this area?
Jan Carlson: We have had focus on quality for many, many years. We have special initiatives on quality focus starting in 2010. We have quality as a natural first focus in everything we do all along. So for that sake, we have not added more people just because of what's going on right now.
Operator: We will now move to Thomas Besson with Kepler.
Thomas Besson - Kepler Cheuvreux, Research Division: A few questions on my side, please. Firstly, on the new reporting segments you plan to implement next year, I'm just -- I mean, candidly curious, Jan, what do you do to that now? I mean you used to run the electronics business. So why was it not grouped as a starting point with the Active Safety business, first? And second, could you give us the loss ID of the relative size of each business on your 2014 guidance for revenues? What could be the writing weight of the 2 businesses is, and are you going to report margins for each of these?
Jan Carlson: If I take the first part, maybe, and Mats can elaborate on the second part. The first part, why we are doing this reporting structure here is that Active Safety and electronics is growing fast in our company, and it's becoming a larger part of the group. And so that is the prime reason why we are doing this. When I was running the electronics division in Autoliv 10 years ago or so, we did -- we didn't have Active Safety as the part of our product portfolio, it was reframed electronics we had. And now we have a whole new product area in this group that is growing fast here in our company. And that's the reason why we are putting it together. We are seeing synergies coming out of this. And that's why this structure is formed. And when we put it together and it's reaching a certain size, you are obliged to report it under the U.S. GAAP rules. So that's why maybe you can elaborate more on what we are going to report, Mats.
Mats Wallin: No, I think, it's right. I mean it's -- the U.S. GAAP rules are clear, and when you get to certain size, and I think they basically have a 10% threshold in terms of size, in order to become a reportable segment. And that's basically where we are heading now when we are combining passive electronics and Active Safety.
Thomas Besson - Kepler Cheuvreux, Research Division: Okay. And what about the size of each business? And are you going to report margins for both segment or just revenues?
Jan Carlson: Yes, we will report margins for both segments, that's the expectation. So that will be on a shorter version of an income statement, not the full way down, but it will be a shorter version. For the passive electronics and Active Safety together as an electronic segment together.
Thomas Besson - Kepler Cheuvreux, Research Division: Okay. And so the weight of each division, please, roughly?
Jan Carlson: Well, the weight of this division, you will see that when we report their outlook and we will come back with this. The first time we will report the segments will be in the quarter 1 2015. And we have not started to work on that. So we don't have any figures yet to give you around how this looks like today. We will come back to that. Probably, before the quarter 1 earnings release, so that all of you have a chance to get warmed up and be prepared of what we are going to report at the release date. So you have some background numbers during first quarter, but I have nothing to give you today.
Thomas Besson - Kepler Cheuvreux, Research Division: Okay, very clear. Second question, on gross margin and the impact of the rising share of Active Safety, is it fair to assume that theoretically these businesses that require higher R&D spend, also bring in higher gross margins on top of faster growth? And when are we going to start seeing your gross margin getting back towards or above 20% in your view?
Jan Carlson: We are not guiding on gross margin. As you know, we have discussed this before on these calls. And we are not guiding and giving no outlook on gross margins. We have not given any specific gross margin figures either on Active Safety or other business as of today. We have said that we should see no reason why the Active Safety business, long term, should not generate corporate average at least. So that has been sort of the long-term communication around the margin, but that is operating margin, besides that, we have no gross margin targets.
Thomas Besson - Kepler Cheuvreux, Research Division: Great. Last question for me, please, and another try. I assume you don't communicate on your own target for 2015, but you say on the front page of your press release today that you expect the deceleration that you see in H2 '14 to last in H1 '15. Can I ask what's your budget assumptions for growth -- the trends in global light vehicle production in 2015. And any color you would like to give by region would also be appreciated.
Thomas Jonsson: Yes, Thomas here. I think it's a little bit early to talk by region maybe, but if we look at the general LVP forecast to come down from, the January forecast was at 4.7% for 2015 as a full year. And now it's slowly and gradually has been coming down. And when you look at the latest October 15 number, it's down to 3.4% for the full year 2015. And I think that gives a pretty good view of what's happening. We don't have any or other better forecast, and that is what's happening in the IHS numbers, I think.
Operator: We'll now take our question from David Leiker with Baird.
David Leiker - Robert W. Baird & Co. Incorporated, Research Division: A couple of things. I think we've had the answer on this topic in a couple of different ways, but I want to see if we can dig into the margin headwinds a little bit, in terms of how long you think they continue to be a drag on you. Why don't we just start with China, and the vertical integration, where are you in the process of that and when does that cease to become a headwind?
Jan Carlson: Yes. Regarding the China, we believe that we will start to see some first contribution from the vertical integration by the beginning of next year. But then it will gradually be something which is improving over some years, because that's quite big projects going on there.
David Leiker - Robert W. Baird & Co. Incorporated, Research Division: But in terms of, ceasing to be a drag on margins, I think, out early '15, we should see that start to improve?
Jan Carlson: You start to see the first contributions coming in the beginning of next year.
David Leiker - Robert W. Baird & Co. Incorporated, Research Division: And then it sounds like the steering wheel move in Europe, you might start to see some impact from that right now? Is that true?
Jan Carlson: We believe that we are according to plan regarding steering wheels in Europe. And so that improvement plan is basically on track.
David Leiker - Robert W. Baird & Co. Incorporated, Research Division: You have margins start to improve there sequentially though?
Jan Carlson: If you look at the steering wheel year-over-year, we saw an improvement -- positive improvement in third quarter, and we expect that now to continue from here and onwards.
David Leiker - Robert W. Baird & Co. Incorporated, Research Division: And then the issue in Brazil, I mean, this had been a headwind for you from a transactional perspective. It sounds like it's now also a overhead or capacity utilization issue, is that right?
Jan Carlson: First of all, it's sort of 2 things with Brazil. First of all, we need to get the supply chain in Brazil, inside Brazil, so we can get more efficient in our operation there. But of course, when we see now also LVP development being negative for us, as this year, it takes longer time. It's more difficult to develop a supply-chain like that, especially when you see such a swing in LVP going from the plus 2 at the beginning of the year for '14 down to minus 16.
Mats Wallin: But you are also right, Dave. There is also a utilization issue, when this is going south, as we see here with light vehicle production declining expected 16% for the full year. And it was expected to be up 2% in January. So there is also a utilization issue.
David Leiker - Robert W. Baird & Co. Incorporated, Research Division: Sequentially, the volumes in Brazil seem to have stabilized where we are the last quarter or 2. Are you in the process of taking capacity out in reductions or what's your thoughts there?
Jan Carlson: We have also the airbags legislation kicking in. So even though you could see an 18% LVP reduction year-over-year in Brazil, we could see a decline in sales of 10%. So we are outperforming sales due to the airbag legislation and the increased take rates. But still there is a problematic area as a whole, as Mats as also explained and touched to here.
David Leiker - Robert W. Baird & Co. Incorporated, Research Division: And then the last item here is, if you look at the Active Safety headwind that you've been facing, the volumes have come up, the gross margins are okay, the R&D side of the equation. Are you at the point now that, that business is profitable for you today?
Jan Carlson: We haven't communicated that, and we will. You will see it done or segment reporting and you...
David Leiker - Robert W. Baird & Co. Incorporated, Research Division: Okay. And then, 2 last things here. Can you give us any additional color in particular of what auto makers or what vehicles in China are causing some problems in the quarter?
Jan Carlson: It's both foreign OEMs, outside OEMs and Chinese OEMs. But it's not all of them, of course. It is a couple of them on one and the other side that is causing us some problems. There are a few there that has high content vehicles, and that is important for us. It hasn't done so well. And then, you have some others, foreign OEMs out there. Also, 2 that hasn't done so well. And these are cars or carmakers that we have a lot of good platforms to and those haven't been selling well.
David Leiker - Robert W. Baird & Co. Incorporated, Research Division: Okay. Great. And one last item here on the airbag issues and understandable that there's been the bigger picture here in saving lives. But what we've seen in some of these recalls is that the component is relatively easy to swap out, the ejector, the inflator, relatively easy to swap out with somebody else's inflator, that you potentially could see revenues from that sooner rather than waiting for a vehicle change or a design change, that would push any impact for you out further. Is there an opportunity for this to kind of step out and help out in the recall process?
Jan Carlson: We are looking into what capacity we have available, and what -- how we can organize the resources we have at hand to help out the situation for our customers, and at the end of the day, also for the consumer. And of course, that could be an opportunity for us. We haven't said more than we have seen some business as a consequence out of this coming our way, but in what shape or form and more than that, we haven't said.
Operator: We'll now take a question from Anders Trapp with SEB.
Anders Trapp - SEB, Research Division: I have a couple of questions. First, I wondered, of course, there's been a lot of recalls lately and they are not involving you so much though. I saw an interview with you, Jan, today, where you, according to the journalist, basically said that what's happened to them is very unlikely to happen to you, because you're different in technology choices. Is that the correct way by the journalist or is it more deeper than that?
Jan Carlson: Yes, that is correct. If you scrutinize it, this is not correctly said, it's an airbag problem. This is in fact a component problem inside the airbag. And the component is what you said, this is the inflator, the device that is inflating the airbags when the crash is happening. And inside this inflator, you have a different type of generant. And we have, in our technology, in the Autoliv technology, a different formulation with the different characteristics that doesn't show that problem that we believe is occurring in the Takata, inside the Takata inflator. So our inflators are built on a different generant technology with a different shape. And therefore, this should not and should not happen to Autoliv. And therefore, we believe our technology is safe.
Anders Trapp - SEB, Research Division: Good. Also wonder if you could shed some further light on your mono camera system offering, your own, basically with your own software, how that is developing?
Jan Carlson: Well, we have said, we have technologies that is launching next year, and we believe that is on plan. And so apart from that, I don't think we have given a lot of more comments to it, but our technology and the products that we have ongoing for launch in 2015 are on plan.
Anders Trapp - SEB, Research Division: Is that launch the first half or second half?
Jan Carlson: Second half, if I'm right.
Anders Trapp - SEB, Research Division: Finally, you and Mats said that you're still seeing 2014 as a transition year. I'm just curious how you expect to describe 2015, is it continued transition year or is it more like a harvest year?
Jan Carlson: I think, we will start to see -- I mean, we are doing a lot of things, as we said. We are doing vertical integration, we are working with the steering wheel business in Europe and sort of many other things. And we expect to see those benefits to come gradually in '15.
Operator: We'll now move to Edoardo Spina with Exane.
Edoardo Spina - Exane BNP Paribas, Research Division: This is Edoardo Spina from Exane. I have just a few, but I'll try to be very quick. Firstly, quickly on Europe, if you can tell us if you've seen any recent changes to the production schedules from the OEMs. If you expect accelerated de-stocking towards the end of the year in Europe?
Thomas Jonsson: No. Thomas here. No, we have not seen any changes in production schedules actually so far, we have not.
Edoardo Spina - Exane BNP Paribas, Research Division: Okay. Secondly, on the vertical integration, I'm sorry, I'm not very familiar, I wanted to ask if you could give us a bit of very brief and high level maybe description on the project and also the time frame, if we should see some benefits to your margins in next year or on what timeframe from this vertical integration?
Jan Carlson: If we take the vertical integration, the main projects we're having there is in China. And 1 project now coming up is our textiles in China, where we sort of we want to produce more textile inside that market. That's an example of a vertical integration, and we believe that, that will start to show first positive contribution by the beginning of next year.
Edoardo Spina - Exane BNP Paribas, Research Division: Okay, understand. So with reference on China as well, on the passenger safety in general, I read that the NCAP regulation there would be benchmarked to Europe next year. And at the same time, Europe particularly is a division of side impact test, which should see you or might see very beneficiary because you have very high market share on the side of airbags. Without asking for guidance for next year, but do you think, from Active Safety, should we expect from Autoliv a higher outperformance versus the underlying LVP production given these changes to regulation?
Jan Carlson: I think it's very hard to make that direct connection. It is true that in 2015, there are some stricter regulation coming out of Euro NCAP. I think for China NCAP, the timing is not as clear yet. So that's clear. But exactly what that's going to mean in impact for us, I think it's a little bit too early to tell, actually. But it is -- so it's not only Active Safety, that is actually becoming a bit more prevalent in the Euro NCAP, it's also [indiscernible] safety becoming more.
Mats Wallin: I think what you could say it is, that it will or could have a positive impact, of course, but to quantify it at this stage is too early.
Jan Carlson: Yes.
Edoardo Spina - Exane BNP Paribas, Research Division: Okay, I understand. So just last 2 questions and quickly on Active Safety, if I can ask, the first is Mercedes is your biggest customer and what percentage of sales do you get from Mercedes?
Jan Carlson: We haven't disclosed the percentage of sales to different customers, but you are fully right that Mercedes is one of our absolute biggest customers in Active Safety.
Edoardo Spina - Exane BNP Paribas, Research Division: Okay. Can I ask if there is a model launch that you would like to point out, towards the next significant model launch maybe in Active Safety that we can see on your revenue, maybe next quarter, the next couple of quarters, or is it not possible?
Jan Carlson: Well, we have mentioned this call, we have our camera, Stereo Vision camera and Mono Vision camera launching here in year 2015, which is an important launch for us. And there will be other launches coming out through 2015, too. But that is 1 example.
Edoardo Spina - Exane BNP Paribas, Research Division: Okay. That will be like a product launch for you, and not necessarily linked to a specific car model launch?
Jan Carlson: Yes, that will go into a specific car, but that will also be, for us, a new product that it will be launching.
Edoardo Spina - Exane BNP Paribas, Research Division: Okay. Sorry, very last thing about the... [Technical Difficulty]
Operator: We'll take the next question from Joe Spak with RBC Capital Markets.
Joseph Spak - RBC Capital Markets, LLC, Research Division: Just trying to clarify your comments on the Takata business, that you're seeing some business as a result of Takata. Is that future business that is being bid on you're seeing a little bit more come your way? Or it's actually a replacement of some current business?
Jan Carlson: I will not comment on that today. We are seeing, as I said, some business coming our way. But as I said, or alluded to before here in the previous comment. We will not go into more details of what that is today.
Joseph Spak - RBC Capital Markets, LLC, Research Division: Okay. And then just 2 quick housekeeping. I thought you said D&A would be up 10%, was that for the year and if so, that seem like a pretty big step up in the fourth quarter. And also, I imagine -- that's one of the other contributing factors to the EBITDA or the EBIT margin drag.
Jan Carlson: The D&A of 10 bps is for the full year.
Joseph Spak - RBC Capital Markets, LLC, Research Division: I'm sorry, 10 -- up 10% year-over-year.
Jan Carlson: No. 10 bps.
Joseph Spak - RBC Capital Markets, LLC, Research Division: 10 bps. Okay, sorry. And then -- that makes more sense. And then the last one is just on interest expense, I believe you have -- I know you raised some funds earlier this year, but I think you have some debt rolling off in the fourth quarter, so should we see that interest expense to taper off here in the fourth quarter?
Jan Carlson: We will have in the fourth quarter 1 maturity to come on the old used [indiscernible] and some other debt. So we will repay $125 million in the fourth quarter. So that, of course, will be a little bit positive on our interest cost.
Operator: We'll now move to [indiscernible] with [indiscernible].
Unknown Analyst: I was away from my desk so I'm not sure if you asked this question, but again, on the inflators, is there a big difference amongst manufacturing. You mentioned generic technology formulation, or is the difference a more of a production quality control issue?
Jan Carlson: I think in this issue, as far as I'm aware, there is a technology difference between what Takata has and what we have. I cannot comment on difference in quality control, et cetera. I can only say that we have a very rigorous system in Autoliv, and we put always quality first. So I cannot comment.
Unknown Analyst: What percent of your airbag inflators are made in-house and who are your external suppliers?
Jan Carlson: We are making almost everything inside when it comes to inflator. We have extensive manufacturing and development across the world in Europe, and in China, and also in Japan and the United States.
Operator: [Operator Instructions] We will now move to Edoardo Spina with Exane.
Edoardo Spina - Exane BNP Paribas, Research Division: Sorry, my line dropped before, it's Edoardo Spina from Exane again. Just 2 more very quickly. On the mono camera, Mono Vision, that you mentioned, I just wanted to understand where we are in the product cycle, basically. So is this at the order level already or is it more in design phase, this product of yours?
Jan Carlson: We have Mono Vision cameras in production today, but we will also launch a Mono Vision camera with our own algorithm here in the second half of 2015. So it depends upon on what you're talking about in Mono Vision. We are in production...
Jason West - Deutsche Bank AG, Research Division: Your own, I'm sorry.
Jan Carlson: In corporation with Mobil-i, and we will launch our own technology here in 2015.
Edoardo Spina - Exane BNP Paribas, Research Division: And that will cease the cooperation, I guess?
Jan Carlson: Say again.
Edoardo Spina - Exane BNP Paribas, Research Division: You will switch to your own camera, so that will end the cooperation with that product you will launch.
Jan Carlson: But as I said, we are in production with Mobil-i, and then, we will launch another camera with our own technology in '15.
Edoardo Spina - Exane BNP Paribas, Research Division: Okay. Very last thing about returns, to understand how you look at it. If for you, it's a sort of a strategic priority to get to higher net debt levels or is something that you just do -- just to help the weather et cetera, but not a priority. Like I just want to understand how you approach it.
Jan Carlson: Well, Mats can probably comment more on this, but what is important for us is to have a efficient capital structure. What is important for us is also to give the shareholders a guidance of what we mean with an efficient capital structure and to also give out some guidance of where this is. And that's what we did in the Capital Market Day in May, we gave a target of 1 leverage ratio with the range of 0.5 to 1.5. And we believe that is a part of the basic guidance to shareholders as part of our targets. I don't know if you want to add something?
Mats Wallin: I fully agree with that. An efficient capital structure, we think, is important to grow the right value for our shareholders.
Operator: We'll now take the question from Philippe Barrier with Societe Generale.
Philippe Barrier - Societe Generale Cross Asset Research: This is Philippe Barrier, Societe Generale. Just a question regarding the labor wage you mentioned, 0.5, a good way to increase labor wage is to spend some cash to make acquisition. I would like to know if there is still some funds which may be dedicated to acquisition. If you see now more opportunity given the recent price on the market, or I think if you see some competition taking place in Active Safety or opportunity on Active Safety or if there is still some aim to make acquisition on the safety market?
Jan Carlson: Our target has been and still is to do acquisition and to look for acquisition, in particular, in the area of Active Safety. So we are. And the difficulty we have experienced is that there a few assets for sale to reasonable price that we have seen so far. And we have not been able to conclude any of discussions we might have had into any acquisition. And we are then using the tools we have traditionally used to return money to shareholders, which has been buyback and also dividends.
Philippe Barrier - Societe Generale Cross Asset Research: And the question is actually if you may spend more cash to a buyback or for dividends. You are saying that you can keep some cash available for M&A anyway?
Jan Carlson: Well, we set out a target of 1 with the range of 0.5 to 1.5, we set that with our ambition to continue to do acquisitions to continue to grow the company and to leave room enough for doing acquisitions given that capital structure. So even though we would reach a leverage ratio of 1, we will continue to seek for acquisition when it make sense to our strategy, and it's particularly in the area of Active Safety.
Unknown Analyst: This is [indiscernible]. I had my headset on battery, so I couldn't hear you. This is a longer call than normal, I guess. I have 2 questions, if I may. First quarter is more related to your strategy. I mean, you have your 2015 target [indiscernible]. At that time, we're approaching 2015 at full speed. I guess, it's more my question is related to will you present the 2015, 2020 [indiscernible] with your result or will that be a specification for next year? Second question is more on if you're thinking a bit outside of box when it comes to reaching the 0.5x on the current hearing, if a redemption would be something that you would contemplate? Those are my questions.
Jan Carlson: When it comes to 2015, you know we present the yearly guidance and the first quarter guidance in January. When we are now set out our $500 million target for Active Safety in '15, and then, we have our margin target during 2016, which will be the year after, I would say, it's not unlikely. It's likely that we will have a Capital Market Day during the first half, sometime during the first half of next year to set out the next level of strategy and guidance for our company.
Unknown Analyst: Thank you. And on the redemption, would that be something you would contemplate?
Jan Carlson: Can you explain, what you mean?
Unknown Analyst: Like you're creating an artificial share and then you kill that share and by that, you're returning shares to your shareholders in a more tax efficient way. Like we've seen, it's among some of the Swedish capital goods company prior to the crisis.
Jan Carlson: Yes. We have not thought about that at this point.
Operator: And we have no further questions at this point. I would like to turn back the call back over to Jan Carlson.
Jan Carlson: Thank you, Bertrand. I would like to thank everyone for many interesting questions and attention and continued interest in our company. We look forward to speaking to you again during the quarter 4 2014 earnings call on Thursday, January 29, 2015. Until then, I wish you all a safe and relaxing fall and the holiday season coming up later on. Goodbye for now.
Operator: Ladies and gentlemen, that will conclude today's call. Thank you for your participation. You may now disconnect.